Operator: Good day, ladies and gentlemen. Welcome to the BioReference Laboratories Fourth Quarter and Fiscal Year End 2014 Earnings Conference Call. My name is Lilly, and I will be your operator for today. At this time all participants are in listen-only mode. Later, we will conduct the question and answer session. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Tara Mackay, Investor Relations Coordinator. Please proceed.
Tara Mackay: Thank you. Good morning, and welcome to BioReference Laboratories' Fourth Quarter and Fiscal Year End 2014 Earnings Conference Call. BioReference Laboratories is one of the largest full-service clinical diagnostic laboratories in the country with focused marketing capabilities in the areas of genomics, oncology, women's health, correctional health and physician office pathology. Leading us on the call today will be Dr. Marc Grodman, President and Chief Executive Officer; and Sam Singer, Chief Financial Officer. Some of the commentary made in this presentation may relate to future results and events. Statements regarding the company's revenue and earnings guidance are based on the company's current expectations. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties including general economic and business conditions; future regulatory requirements and pressure on healthcare reimbursements; the service, customer and geographic market mix of any particular financial period; the company's ability to effectively manage its operating costs and collect its receivables in a timely fashion; the level of demand of the company's products and services; and the company's ability to manage its supply and delivery logistics. Additional discussion of these and other factors affecting the company's business and prospectus is contained in the company's periodic filings with the Securities and Exchange Commission. I will now turn the call over to Dr. Marc Grodman, President and Chief Executive Officer.
Marc Grodman: Thank you, Tara. Anyone who sees, who reads, hears anything about the evolution and the progress in healthcare, knows that there has been an explosion of clinical scientific and technological knowledge over the past decade. We were just starting to scratch the surface of how these advancements will acquisition precision medicine and personalized care. Our record of innovation and growth not only distinguishes us, it defines us. It also positions us. It positions us smack in the middle of this new exciting frontier. Despite the challenges in the past few years in the changing landscape of the laboratory market, Bio-Reference will continue to lead, you know, as an industry of all clinical laboratories. It is remarkable the challenges that we have encountered. We have fought as an industry against commoditization of our services for more than a decade. Those of you who know us, who have seen us, who have heard us, who have visited us, have heard our vision and understand that we have a worldview that goes beyond the quarter-by-quarter horizon. We think about where this goes. Besides our extraordinary record of growth and innovation, we have valuable assets that we must leverage. Our sense of clinical relevance, our leadership in genetics and sequencing services, our commitment to informatics solutions to provide greater insight for our clients and our determination to be a partner to providers everywhere. We believe that the value we ultimately realize as a company, as an entity, is commensurate with the knowledge we create for all members of the healthcare landscape. Those were not just empty words. That is our vision. Our results for the year tell a story of facing the challenges while expanding our genomic solutions across many clinical specialty lines. Sam Singer who is going to review our financial results and then I will have comments later.
Sam Singer: Thank you, Marc. Good morning, everyone. During the fourth quarter of fiscal 2014, which ended on October 31, 2014 Bio-Reference recorded net revenues of $227 594,000 compared to $192,219,000 in the fourth quarter of the prior fiscal year, an increase of 18%. Gross profit on revenues for the current quarter was $106,853,000, representing a gross profit margin of 47%. In the fourth quarter of the prior year, gross profit on net revenues was $85,282,000, representing a gross profit margin of 44%. Earnings per share on net income after taxes were $0.66 per share in the current quarter versus $0.40 per share in the prior year quarter. Patient count for the current quarter increased to 2,550,000 from 2,350,000 for the prior year quarter, an increase of 9%. Our net revenue per patient for the fourth quarter just ended was $88.67 compared to $80.80 per patient in the same quarter for the prior fiscal year, an increase of 10%. On October 31, 2014, working capital was $207,285,000, a 29% improvement over the $161,116,000 that we reported on October 31, 2013. Our day sales outstanding on October 31, 2014 was 106 days. Our net revenues were $832,282,000 for the 12-month period ended October 31, 2014, which represents a 60% increase over the net revenues reported in the prior fiscal year. Gross profit on net revenues for the current 12-month period was $369,999,000 or 44% compared to the prior fiscal year of $322,539,000 or 45%. Income after taxes increased to $46,758,000 during the current 12-month period from $45,825,000 during the prior comparable period, a 2% increase. Earnings per share for the 12 months on income after taxes increased to $1.68 per share on a fully diluted basis from $1.65 per share for the prior fiscal year. Patient count for the current year increased to 9,632,000 from 8,549,000 for the prior year, an increase of 13%. Our net revenue per patient increased 3% to $85.55 from $83 in the prior year. Thank you. I would turn the call over to Dr. Grodman.
Marc Grodman: Thank you, Sam. Over the past three decades Bio-Reference has constantly evolved to meet the opportunities and challenges presented by the wealth of new scientific technological and clinical discoveries. We have been at the forefront of innovation and diagnostic testing and play a meaningful role in improvement of patient care. We have achieved a remarkable record of gross and consistency that has all been overwhelmingly organic. Over the past 30 years, we have evolved from just in New York regional laboratory to a Northeast regional laboratory to a regional oncology laboratory, to a national oncology laboratory, to a disruptive national women's health laboratory to one of laboratory that does where this order genetic single gene testing to becoming the first commercial laboratory to offer next-generation sequencing for a number of clinical conditions and to becoming the world's leader and the penultimate genetic diagnostic testing [ph]. From the New York regional laboratory to a global laboratory doing work in over 50 countries around the world and counting, we have evolved. We will continue to evolve in every way. There are two underlying themes that will guide us for the foreseeable future that I would want to address first off. First of all, it would be inappropriate to think of GeneDx as our only genetic sequencing laboratory. Clearly GeneDx is a powerful brand and despite of zebra stripes hold the outstanding clinical genetic services offered by this wonderful laboratory, but the delivery of services in the areas of women's health oncology and certainly inherited cancers is a commitment to cross all of our facilities both, in Maryland and New Jersey. Sequencing-based services whether they would be in core genetics women's health or oncology are becoming increasingly the mainstay of our business as we innovate and incorporate these testing platforms to answer pressing clinical questions. In the first quarter of this year, just about 10% of our company's revenues would be attributable to sequencing genomic services across all lines. By the fourth quarter that number was closer to 20%, and is reflected in the year-over-year increase in revenue per patient of almost 10% from $80.80 to 88.67. By the end of next year, as a result of all of our clinical offerings, including our new tumor sequencing services, the increased offerings in women's health, we expect us being closer to the 25% of all of our revenues will be based on sequencing services. This presents some challenges, but more importantly it present outstanding opportunities. The second theme is that we must become more provider-centric. I have mentioned these concepts before, but it is never more relevant than today. As payment patterns in healthcare change to drive accountability to provider groups, payment models for everyone will change accordingly. As providers take risks for their services, there will be a level of value assigned to our contribution. It is not based on machinations to leverage market share. It is this change in order that will evolve over the next decade and we must become a partner to providers. By providers, I mean everyone. I mean physician groups, I mean, multispecialty group practices, I mean hospital systems or any entity that takes on the responsibility of providing care. This approach involves every aspect of our business. Certainly, in genetic, where our menu of testing spans from inherited cancers to single gene testing to disease-specific sequencing panels to exomes. We believe, we have among the most comprehensive menus of genetic diagnostic solutions available by anyone laboratory in the world. It will certainly apply to oncology. Where our long-awaited new offerings of cost effective clinically actionable tumor sequencing panels both, for solid tumors and liquid tumors will offer providers more information at a cost efficient level. These are not off-the-shelf solutions, but have been researched, designed and tested by our scientists and clinicians based on the state-of-the-art knowledge in collaboration with some of the best minds and institutions in the world. It is also true in women's health, we new sequencing technologies and non-invasive prenatal testing and carrier testing for pregnancies have become more commonplace and our solutions makes sense when superimpose and already strong national women's health program. These two themes becoming provider-centric as well as a leadership in genomics across all clinical areas lead to yet another essential opportunity. We currently provide clinical diagnostic services for many of the greatest medical institutions in the world. The information our partners generate when formatted with the informatics required to link the clinical characteristics or phenotype of sequencing data is living critical data. Our vision is to work with them to make this knowledge more accessible for patient care, to make it more accessible for research, to make it more accessible for education and to facilitate collaborations and how we leverage this information to offer our clients knowledge not just results that can differentiate us even more clearly in the future and as a basis for the future value that we will create. Despite all the challenges we faced this past year, we continued our remarkable record of organic growth. 2013 was a hellacious year for reimbursements that has been well documented by us as well as others. To my knowledge, every clinical laboratory that is publicly traded, in fact, I think all healthcare entities have confirmed the changes in the reimbursement environment that resulted in lower revenues per patient, yet there are other winds of change that we had to encounter, new building codes and policies, new roles of providers, new kinds of competitors that have come into the marketplace. This was the setting a year ago, when we gave guidance for fiscal year 2014. We said that we would do 10-10 and 10, meaning 10% increase in patient volume, 10% increase in top-line revenues and net income. For the year, despite some fairly significant weather in the earlier months, we saw an increase of 13% in patient count of over 16% increase in revenues and excluding $0.10 per share that was attributable to the weather conditions and 8% increase in net income. We believe that there had not been for the extraordinary legal expenses that we will talked about it in the fourth quarter, which I will discuss in a moment, we would achieve our 10% milepost for net income. On a personal note, looking back a year at the uncertainty of where we were one year ago at this time, I am incredibly proud of what was accomplished. None of this does justice to the complexity of our business or all the investments we have made and we will continue to make to prepare us for the future. Changes in reimbursement's effect to our margins last year were significant changes in revenue per patient for a non-genetic business, routine quarterly margin comparisons provided little insight into comparisons with our quarterly results. We believe fiscal year 2015 should be different and quarterly comparisons will once again be helpful since we will have the prior year's experience used as a baseline. However with our growth, and especially since we believe that the increase in sequencing services will outpace the other aspects of our clinical services, our margins may not remain static the be subject to variation both up and down. Our gross margin for the fourth quarter of fiscal year 2014 was a shy of 47%. There are many moving parts here. While we have continued to upgrade our facilities in Florida and California to prepare for growth, we have achieved significant cost reductions in our court testing business expenses. While we are starting to see some improvements in cost structures, in sequencing we are feeding the growth of our clinical genomics capabilities given the extraordinary opportunity we are afforded in these diagnostic areas. Other SG&A expenses is where we have historically shown our greatest leverage in the past. For the year, despite the decreasing reimbursements and increasing legal expenses, we were only about 50 basis points higher than the prior fiscal year. For the fourth quarter alone, we actually showed leverage over the fourth quarter of the prior year. This is one component of other SG&A services that deserves discussion and that is a legal fees. There were a number of issues in which we were involved in mandate litigation. These are aspects in areas where there is a great deal to gain and issues that are important to maintain future growth. It is an area that is growing in recent years. Most consistent with ordinary issues for companies are size, in particular, however there are two that deserves special mention. We were in litigation with Horizon Blue Cross Blue Shield. We believe strongly in our position, the litigation no way affects our ongoing business with Horizon. However, we believe our claim in this case is simply too significant to ignore the Horizon case will be a lengthy process and needs to run its course. We are also one of seven defendants in suits filed by Myriad Genetics claiming infringement on patents related to inherited cancer testing. This litigation has been well described over the past year-and-a-half. However, as we discussed in the last quarter, we are the only entity, certainly, the only one of the defendants that has opened a whole another novel front, proactive front in the battle to allow the open testing of genes related to cancer risk. This is a cause in which we along with the greater genetics community strongly believe and where is litigation brought on by Myriad is in Federal District Court in Utah. Bio-Reference filed petitions before the U.S. Patent Office to invalidate 13 of the patents in question. The validity of these patents is therefore not only sitting before a federal judge, but due to our singular efforts may also be adjudicated by a panel of patent experts. We believe in this cause, but as we said it is expensive. Many of the unanticipated expenses came in this past quarter and we have calculated that about $0.03 a share is attributable to these extraordinary exits to this action alone. We should note that yesterday the U.S. Court of Appeals in Federal Court in upholding the trial judge's decision to allow competing tests for three of the patents in question. Will that those three patents never should have been issued in the first place. This is an ongoing process. Marketing expenses for the quarter remained about 9% as we continually add to our staff to keep pace with the demand to the market. We have spent a great deal of time across training oncology, clinical, women's health and GeneDx personnel in related areas. As disciplined as we have been in defining sales and marketing by specialty, the opportunities for selling across market areas have never been as plentiful. By the end of this year, our sales, sales support and marketing staff exceeded 400 people. Bad debt for the recently completed fourth quarter was just of 9%, but around 8.5% for the year. This is where we expect to be the next year as well. As I stated in the past, unless we see a substantial change in our payer mix, we don't foresee any changes to our bad debt in the near-term. DSOs were at 106 days in comparison to 105 the past two quarters. Quite frankly, we were hoping they would be better. In fact, as reported previously in the prior third quarter, we again saw cash collections improve. We have also seen improvement in the collections of our non-genetic testing business. Nonetheless an ever-increasing percentage, where revenues are derived from molecular diagnostic, the genetic testing in particular, payers are still finding their way into higher reimbursement testing area and are establishing newer, more comprehensive demands for medical records, medical necessity and authorization. These demands may be achievable. They are achievable, but they are not yet in a steady state, where we can reliably acquire everything needed at the time of collecting the patient samples for the payers [ph] who we must build. We have dedicated the resources to establishing the requirements that we get against the reduction in our payment cycles. Nonetheless, the clients who request this work were highly changed to try trained professionals, who by and large know how to use these sophisticated tests. As adoption increases, we believe that reimbursement will stabilize and become more rational. These tests will be critical to patient healthcare and reimbursement will be by necessity become simplified. Our cash flow of just over $9 million was the best since the fourth quarter of 2012. In fact, our free cash flow of almost $3 million was not only the best since that same first fourth quarter of 2012, but it was also the first positive free cash flow that we have purported since the end of that year. We are getting better. The challenge of 2013, the growth in genetics, the added complexity of the reimbursement process for these tests have presented obstacles, but I think we are showing some improvements. As I have said before, ours is not a static business. We are evolving and in giving guidance there are many moving parts that not only reflect our own initiatives, but also must encompass the global changes that are occurring in the healthcare marketplace. We will grow. We will build our leadership in genomics both, in these country and throughout the world. We will strive to become more providers-centric and build partnerships to further enable our growth. Given our size, the size of our denominator, we expect in fiscal year 2015 to see a greater than 10% increase in net revenues and we think a 20% increase in net income over the fiscal year 2014 results. There are some other issues I would like to address with regards to PEMA and Medicare reimbursements in effort to determine Medicare reimbursement in 2017 CMS is important upon a process to determine market-based pricing. I believe this approach is carried through ultimately do with this service to Medicare beneficiaries, but should have no impact on clinical laboratories until fiscal year 2017. It has been a great within about proposed guidance by the FDA to regulate diagnostic testing, developed in clinical laboratories and to regulate them instead as medical devices. It represents a massive regulatory change, without consideration of the economic impact such an action. I have spoken about this. I will leave it up to the regulators, the legislators and the attorneys to decide if the FDA has statutory authority for such actions, but in a recent letter sent to the FDA, over 50 signatories, including the American Medical Association, the American Hospital Association, the Association of Molecular Pathology, The American College of Medical Genetics, all urged caution and demanded that such radical changes go to the checks and balances of rulemaking or legislative action before they are instituted. Given such opposition, I would not presume to un-challenge adoption of the proposed guidance. Bio-Reference will continue to grow. We are going to continue to innovate into impact patients lives. I am incredibly proud of those who worked with us, who have joined us, who have pushed us to be smarter. We responded to the challenge in the prior year seizing upon the changes in the market and leveraging our considerable strengths. We may be approaching of $1 billion in revenues as a company, but I think that we are still small enough to recognize the contribution of individuals. Ultimately, when it comes down to people in Bio-Reference, we simply have the best team. I want to thank you for being on the call and I am certainly happy to answer any questions.
Operator: [Operator Instructions]. Our first question comes from the line of Amanda Murphy with William Blair. Please proceed.
Amanda Murphy: Hi. Good morning.
Marc Grodman: Good morning.
Amanda Murphy: Just a sort of on the sequencing commentary that you made in terms of the growth, so quite impressive there. If you think about sort of this year, how much you have grown in sequencing business, so I had a question, when you see sequencing is that just next-gen sequencing or is that including Sanger or kind of all sequencing. Then also I know you don’t like to talk about specifics, but can you maybe give us a sense of what is driving that growth? Is it the inherited cancers side of the business for example?
Marc Grodman: I mean Sanger sequencing simply is obviously is being outpaced far and away by you know next-gen sequencing of one kind or another either we clinical panels or we carrier screening or what we expect will be tumor sequencing or overwhelmingly it is a new technologies that are driving the growth. Quite frankly, it has been all of them inherited cancers as part of it, exome a part of it, panels a part of it. I mean, it does goes throughout that in this coming year more carrier screening and tumor sequencing will offer further growth, so it is clearly in those areas and it also will be in some of the newer areas that we have. What feels it is effective, we are pretty well positioned. We have a great brand and a great reputation and great sales and marketing and we do things as clinical solutions and it has historically done well, so we expect to continue in the future.
Amanda Murphy: Got it. Then I think maybe just quick math on your commentary around you know get into 25% next year sort for points to a lot the 10% growth coming from sequencing. I know you said guidance is at least 10%, but maybe you could talk a little bit about that kind of a business. Does that mean that you are still facing reimbursement challenges next year and just kind of curious what the rest of the business given that most of the growth seems to be coming from.
Marc Grodman: Sure. Well, I think, as I said before and we have said that we thought that growth to be greater than 10%. We have done in times when we have had very good healthy growth invariably given the same guidance, so I think they were careful, but no we certainly expect other parts of the business to continue to grow. We think that oncology is evolving as more next-gen sequencing. We think our solution were differentiating and will lead to other different businesses from there, so we are looking at growth continuing in all parts of the market. However, the percentage of gross in the sequencing technologies are going to be greater, so you know that is why we stand by that and we said greater than 10% in many years in the past. In terms of where we go in terms of our business, you know, there are a lot of changes we think that are on the horizon and I would not rule out at any point growth in the regional business as well. I think when we last spoke, we talked about that, but we don’t like to make predictions about. That really have to do with sometimes payer relationships and local changes that occur, but when we see growth really truly; that when we go in all areas, we are trying go, be very careful. We do not make predictions about the volume, because there are factors that play right now that are nothing but good ones. I mean we try to go into business [ph] that we are not going to be participants in and places that we are not to get paid, which may have somehow decrease some volume areas, but is not revenue generating, but we see possibilities of good volume growth as well. I think that it is going to be all areas and the guidance that we gave is consistently we have done in. What we have done not last year, but we did other years in the past.
Amanda Murphy: Got it. Then just an update if you may on some of the new testing.
Marc Grodman: Sure.
Amanda Murphy: You talked about the somatic tumor panels and doing smaller panels and then maybe a broader one, so curious what the update there is when you are planning on launching that. Then also on the hereditary cancer side you talked about expanding that the panel you know to the broader Bio-Reference sales force, so curious about that in terms of how that is progressing?
Marc Grodman: I mean, I think, that we have done that, so there are two separate issues. One is that we are incredibly proud of what we have done with our tumor oncology panels. They will be introduce over in March, officially, these are ones that we created de novo. They have been under R&D for great deal of time and we are very proud about them. I think that would make determinants and this be a little bit more technical than what we wish we do on an investor call. Tumor sequencing is critical to the future of care, I mean it is - all kinds of areas both, in terms of immediate patient care, patient care improvement down the line and even evolve the discovery. Payers have been especially in this area resistant to be able to go make payments and there needs to be and there will be newer code that will come out to try to find this, but it is still unclear as to where they are going to be as of right now. Most peers still are paying particular biomarker itself. We believe for this to be successful that these panels have to go be clinically actionable, meaning, go to a trial, go to treatment, but know what is going to be done right now. Two, we think it has to be done on a very small amounts of DNA and be exceptionally sensitive, we have worked hard at this and these will come out as I say in March, we will start and we already have started our training and we are looking forward to this, because we think that we can go in and provide a cost-effective solution, the one is really desperately needed and get more people tested, which is what they are not getting. I don't think that go and getting just offering expensive tumor panels without the real case being made is a long run gain, so we need to be able to go and do that. In addition, we also are working on substantial with academic partners much larger panels both for R&D, for other commercial collaborators and for what happens for rare cancers or ones that are not positive and those will come out at the end of the year. In terms of inherited cancer, this is a long-range process. We are encouraged by our growth. We have a great franchise name in genetics, but we have a good number of people in oncology and women's health. In terms of being able to go bring in business and what we are looking to do, when we think we can do for a number of different players is to provide not only where we talked about our one-stop shop for all surfaces, we have talked about that in oncology and help fuel the growth. We are looking for one-stop shop and genomic solutions. We think that's important and that is where we are going to be looking to grow and their concept, the one-stop shop for genomic solutions, that encompasses kind of the evolution of where we were in the past and where we are going and that is process that is going to take place over the next year or two and that is how we see we are going to grow.
Amanda Murphy: Got it. Then just last one on the cash flow commentary. If you look at the information in the press release it is hard to tell exactly, but it looks like you had a little bit of a benefit from the tax rate helping. Then DSO still relatively high, so AR sort of use of cash on payables maybe helped you a little bit, so just kind of figure out where the cash flow was generated, and then maybe if you can also comment on the tax rate dynamics as well?
Marc Grodman: Sure. Actually difference in - do not give us much of a benefit in the fourth quarter at all. Most of it was because we simply did improve the collections in terms of where we were and we did seek better collections. We still would like to go be better, but as I say, we are fighting two different battles. 2013 was a setback no question. We have improved in our collections of the base business. The genetic business is more - businesses since it has a local collection cycle. It almost mitigates the improvement that we have done on the other. We have tried to bring it down and you know it has been an ongoing process, but the fact that it was first positive free cash flow quarter that we have had for quite some time I think is a positive step. When you think about the difference in taxes, you are right. Our guidance going forward, I think, is somewhere for the year we were just over 42% and we will probably be 42.5% going forward in the coming year. However, a lot of this because tax now were coming in from all over the country and a lot of states with different tax rates. That is why for us not having a static business, but a growing business really won't change us. Some of the benefit we had certainly will be counteracted by some of the negatives that we have had something with the expensive legal fees that we did, so all-in-all, I think, we did pretty well given what we thought would be last year.
Amanda Murphy: Okay. Thanks very much.
Marc Grodman: Amanda, thank you.
Operator: Your next question comes from the line of
Mitra Ramgopal: Yes. Hi. Good morning. Marc, first regarding the guidance, I know you have talked about revenue 10%-plus. When we look at reimbursement this last quarter, revenue per patient was, I believe, at its highest level. Are you assuming some pricing benefit or is it all volume-driven in terms of the revenue guidance?
Marc Grodman: I somehow think that pricing and benefit are two congress terms. We fight against reimbursement levels. I think that we are seeing that more of our business is going to go toward higher end reimbursement levels. I think part of that is mitigated by the fact that reimbursement for some of the underlying genetic tests and even inherited cancers while lower than where they have been before we got in the business is still going to be higher and some of the tumor sequencing will not be at the higher levels necessarily, but most of - when we have that is that we are not really seeing a benefit of that as much as kind of a status quo of where that is going to be.
Mitra Ramgopal: Okay. Thanks. I was wondering if you could give us an update regarding the investments or expansion you have done in California and Florida.
Marc Grodman: We have worked, as I mentioned before, and nickel back to one of the thing that mentioned. In terms of your revenue per patients going from 10 to 20 over the course of a year will have a bigger impact in going from 20 to 25 over whole year, so just to go kind of hallucinate the other question. In terms of we have three good facilities in Florida that we continually upgraded and made it one with our business in New Jersey. We have now are finishing our conversion to make the California laboratory work as one with us on the same informatics platform. Once that is completed, we expect very strong growth out of California. We had significant increase over the year. We need that operation to be able to our specialty work there and have a West Coast facility. Unlike other laboratories, as I mentioned this is not a process of going in and buying new customers and closing it down. This is buying a laboratory that really frankly needed some work that we built after our standards and I think that we can benefit, so I think that they are important not as profits centers, but say new scheme of building a national business.
Mitra Ramgopal: Okay. No. Thanks. Very helpful, I know you mentioned earlier about doing business in 50-plus countries and just becoming more of a global company, how much of your revenue roughly comes outside U.S.?
Marc Grodman: Remember most of this comes in genetics. We have never disclosed that amount, but it is a healthy percentage of the GeneDx business of the genetics business, so we would have to go backwards, but I mean clearly if you look at the entire I am trying to - how can I go without disclosing more - I mean, we are living in eight figures. How does that sound?
Mitra Ramgopal: Okay. It is not a case where you necessarily need to add sales force…
Marc Grodman: Make no mistake, we are looking at a global business and we are adding people and we are looking at relationships all over the world to expand our relationships. I am not sure if there is a clinical laboratory. If you can go to among geneticists anywhere in most places in the world, I don't want to carried away, and for them not to go in see zebra stripes and know what that means. There are two remarkable franchise, we are clinical laboratory. We are professional clinical service and that is what we have. We have been so working in what we had to go to here that we often have not spent as much time. This incredible franchise value and you know what, now we are.
Mitra Ramgopal: Okay. Thanks for the color. Finally, just coming back on the litigation expense side, I know you said you are about $0.03 in the quarter. How should we think of that as we go into fiscal 2015 and beyond? Is that sort of a reasonable number to keep assuming?
Marc Grodman: Well, the $0.03 that was there that we did is that our legal expenses were beyond $0.03 per share. What we said was that we are in a lawsuit Myriad like number of other laboratories. We started a new action. It was a new action, because we believe in this. It is something that we are obligated to do to be able to go in and do work in inherited cancers for the benefit of everyone and create a competitive market. Whereby everyone else, including us was spending monies in litigation, in Utah, we started a separate action to invalidate the claims at the U.S. Patent Office that was above and beyond and was distinct. This in itself was an important action that we took, because ultimately what we did was rather we took to bite out of Apple. - more than one bite, so we took two, and this one that claims was going to be adjudicated not in front of a judge, but in front in front of people who work specifically with patent at the U.S. Patent Office. What we are saying is that the extraordinary costs of this one effort was about $0.03 per share in the fourth quarter alone.
Mitra Ramgopal: Right.
Marc Grodman: …normal as we expected, I think that we can as we go forward with it, I think we will get leverage. I think that we would have, legal expenses are substantial and we will go in and deal with them going forward, but they are really in our guidance, so we have incorporated even though a lot of the expenses for this effort was there we still see what they are, but they are all incorporated our guidance. You know what also changes? I made a comment before that yesterday the District Court went out and totally invalidated 3 out of the 16 patents in question. Of those, there was going to be less work for us to be able to do on the IPRs, so itself better for changing area, but all those expenses clearly were incorporated to the guidance.
Mitra Ramgopal: Okay. Thanks again for taking the questions.
Marc Grodman: Great. Mitra, thank you very much. Great.
Operator: There are no further questions in queue. I will now turn the call over to Grodman for closing remarks.
Marc Grodman: Thank you. I want to thank everybody. I want to thank you for being on the call. I wish all of you a happy healthy New Year and a great holiday season. I look forward to speaking with you again. Thank you.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.